Operator: Good morning, and welcome to the Lydall First Quarter 2019 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions]. After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Brendan Moynihan, Vice President, Financial Planning and Investor Relations. Please go ahead.
Brendan Moynihan: Thank you, Austin. Good morning, everyone, and welcome to Lydall’s first quarter 2019 earnings conference call. Joining me on today’s call are Dale Barnhart, President and Chief Executive Officer; and Randy Gonzales, Executive Vice President and Chief Financial Officer. Dale will start the call with comments about the continued progress we are making in executing our long-term strategy as well as provide an overview of current business conditions. Randy will follow with a review of our financial performance and discuss the key drivers by segment. At the end of our remarks, we’ll open the line for questions. Yesterday, our quarterly earnings release was issued and our Form 10-Q was filed. So that you can follow along with today’s call, please reference the Q1 2019 earnings conference call presentation, which can be found at lydall.com in the Investor Relations section. As noted on Slide 2 of this presentation, any comments made on this conference call that may constitute forward-looking statements are made available pursuant to the Safe Harbor provision as defined in the securities laws. Please also refer to the cautionary note concerning forward-looking statements within Lydall’s Form 10-Q for further information. In addition, we will be referring to non-GAAP financial measures during this conference call. A reconciliation to GAAP financials can be found in the appendix of the presentation I just referenced. With that, I’ll turn the call over to Dale.
Dale Barnhart: Thank you, Brendan. Good morning, everyone, and thanks for joining us. Slide 3 outlines our recently published financial results for the first quarter. I will briefly cover the key highlights, and Randy will take you through the results in detail when he provides a summary of our financial performance. First quarter 2019 net sales of $218 million increased $26.4 million or 13.8% from the same period in 2018. Organically, sales were up $2.2 million or 1.1%. Filtration sales and Performance Materials and North American sales of Industrial Filtration products and Technical Nonwovens were key drivers. Sales in the Thermal Acoustical Solutions were down on lower tooling and lower parts volume in North America, partially offset by growth in Europe. Overall, FX was a headwind of $6.4 million or 3.3 percentage points. The Interface acquisition added $32.9 million of inorganic sales, which was lower than expected on general softness in the ceiling end markets. Adjusted EBITDA for the first quarter was $21.8 million, up 1.1% from the prior year but not as much as we expected given the softer top line results from Interface and margin headwinds in Thermal Acoustical Solutions. The resulting adjusted EBITDA margin of 10% was down 120 basis points. Adjusted earnings were $0.28 per share, down $0.39 from the first quarter of 2018, including approximately $0.32 of incremental amortization and interest expense associated with the Interface acquisition. Finally, strong cash generation of $14 million in the quarter was led by organic improvements in working capital enabling us to pay down $7 million of debt on our credit facility in the quarter. Turning to Slide 4. This is an overview of our long-term growth strategy, which includes four drivers; new product development, Lean Six Sigma, geographic expansion and M&A. With respect to acquisitions, in early April, we announced a small acquisition of gasket materials book of business from Hollingsworth & Vose. This acquisition builds on the Interface business we acquired in August 2018, growing Lydall Performance Materials share in the ceiling market. The transaction was fully funded with cash on hand, and customer transition and integration activities are already underway. I’d also like to highlight an external recognition of operational excellence in the Thermal Acoustical Solutions segment. Our Hamptonville, North Carolina facility was recognized by General Motors as a Platinum Supplier for dedication and commitment to consistently performing above expectation for outstanding on-time shipping performance. This prestigious award was a result of outstanding teamwork from the Hamptonville organization, particularly considering other operational challenges associated with new product launches and start-up of new production assets. The award is a recognition of Lydall’s customer focus. Finally, the previously announced restructuring initiatives in Technical Nonwovens focused on consolidation on manufacturing sites. Remaining activity on this project will focus on further consolidation to two facilities in China and site rationalizations in Europe to consolidate felt making operations in the UK and Germany. The completion of these projects we expect later this year and will leverage our business to be more efficient and further strengthen our scale and positioning in these markets. We have invested $3.3 million to date and forecast the program to spend at $4.2 million with run rate synergy benefits of $5 million by the end of 2019. Turning to Slide 5, with respect to business conditions. Overall, we believe the underlying fundamentals of our business remain steady, but we continue to monitor government actions that impact global trade relations. On the supply side, we are seeing mixed results with the cost of aluminum sheet products used in our Thermal Acoustical Solutions business. While the LME Index price is down from first quarter 2018 and sequentially from the fourth quarter of 2018, we continue to see upward pressure on local premiums and conversion costs for these products, particularly in North America. We anticipate these cost headwinds will continue throughout the remainder of the year. We also are closely monitoring polyester fiber pricing, a key input across filtration and engineering materials business segments and continue to see supply constraints and higher prices on Meta Aramid fibers and input for certain specialty applications in Technical Nonwovens and gasket applications in Performance Materials. We have completed resourcing activities in Technical Nonwovens for raw material input impacted by last year’s 10% tariffs. On the demand side, domestic automotive adjusted rate in the first quarter of 2019 averaged just under 17 million units, essentially flat with the first quarter of 2018. Current forecast for 2019 indicate domestic light vehicle production levels down 2.9% at 16.8 million units and Western European volumes to be essentially flat. China market projections have been revised downward to be flat for the full year after year-on-year declines in the first three months. Given this global outlook and the mix of applications and platforms in our product portfolio, we expect to slightly outpace the market on a volume basis. Looking to our filtration and engineering materials business, we are seeing strong demand for filtration products in North America and in Europe. And sales of cryogenic insulation in China have stabilized. We are closely monitoring conditions in the ceiling market. We saw softness across all regions in first quarter. In our Technical Nonwovens segment, we are experiencing stable demand for industrial filtration products, but are closely monitoring demand in China, which rebounded in the first quarter after a weak fourth quarter in 2018. North American demand in the industrial filtration market remains healthy and European demand is stable. While delayed until later this year, there is still some uncertainty on the impact of Brexit. The advanced materials end markets outside of automotive applications also remain healthy, and we expect a seasonal volume ramp up in the second quarter in geosynthetics in North America consistent with prior years. With that, I will now turn the call over to Randy.
Randy Gonzales: Thank you, Dale. Turning to Slide 6, I’ll briefly cover our consolidated results and then provide an overview of our operating segment results. As a reminder, we will be discussing adjusted financial metrics including adjusted EBITDA by segment. Details on these important metrics are provided in the press release, earnings presentation and 10-Q. Sales in the first quarter of 2019 were $218 million, up $26.4 million or 13.8% from first quarter 2018. Acquisitions in the Performance Materials segment contributed $33.7 million or 17.6 percentage points of this growth. Foreign exchange was a headwind of 3.3 percentage points, primarily on a weaker euro. Tooling sales of $9.7 million were down $3.6 million from prior year consistent with expectations. The resulting organic growth was up 1.1%, driven primarily by sales in Performance Materials, Filtration and Technical Nonwovens Industrial Filtration markets. Reported gross margin in the first quarter was 19.3%, down 130 basis points from prior year. Excluding restructuring and severance charges in both periods, adjusted gross margin of 19.5% was down 130 basis points. Incremental gross margin in the Performance Materials segment from the Interface business was offset primarily by higher material and labor costs in the Thermal Acoustical Solutions segment, an unfavorable mix in the Technical Nonwovens segment. While commodity inflation on aluminum has eased from first quarter 2018, we are still seeing higher costs for the Midwest premium and conversion costs. The decline in gross margin was partially mitigated by continued discipline on SG&A expenses. Excluding restructuring, strategic initiatives, amortization and the addition of Interface, SG&A expenses were down $2.4 million, principally on lower headcount and reduced trial expenses. Consolidated EBITDA margin for the first quarter was 9.4%, including $800,000 of expenses related to corporate strategic initiatives and $400,000 of expenses related to restructuring activities. Adjusted for these items, EBITDA margin in the first quarter of 2019 was 10%, down 120 basis points from prior year. Adjusted EBITDA for the quarter was $21.8 million, up 1.1% from the first quarter of 2018 period. The reported effective tax rate for the first quarter of 2019 was 22%, in line with expectations driven by valuation allowance adjustments and geographic mix of earnings. This compares to a reported rate of 16.1% in first quarter of 2018, which was favorably impacted by deductibility of higher stock compensation expense. For 2019, we continue to anticipate the consolidated ordinary tax rate to be in the range of 20% to 22%. First quarter earnings per diluted share were $0.22 compared to $0.64 in the prior year. When adjusting for strategic initiatives and restructuring and severance expenses, adjusted earnings per share of $0.28 were down $0.39 compared to adjusted EPS of $0.67 delivered in the first quarter of 2018. Incremental amortization of $3.9 million or approximately $0.18, an additional interest expense of $3.1 million or approximately $0.14 both contributed to this difference. Cash flows provided by operations in the first quarter were strong at $14.4 million, an improvement of $18.3 million from last year, driven primarily by improvements in working capital. Cash was used to pay down debt by $7 million and to fund capital expenditures of $9 million. For the full year, we continue to expect capital spend in the range of $40 million to $45 million to support organic growth programs. As previously communicated, cash generation and working capital reduction are key focus areas in 2019 as we look to accelerate debt pay down. Our liquidity remains strong. At the end of the first quarter of 2019, cash was $48 million. Total outstanding debt from the credit facility ended first quarter at $318 million for a net debt ratio of approximately 3x. Finally, during the fourth quarter of 2018, Lydall authorized termination of the U.S. Lydall pension plan with completion anticipated in 2019. As communicated in our February conference call, we continue to estimate incurring pension expense of approximately $29 million to $33 million, which we expect in the second quarter. These charges will predominantly be non-cash charges with an estimated $2 million to $4 million cash contribution. Further detail on the plan is also provided in the 2018 10-K and this quarter’s 10-Q. Moving to Slide 7, I’ll discuss our segment results starting with our Thermal Acoustical Solutions segment. This is our global automotive business that specializes in providing innovative, engineered thermal and acoustical solutions for vehicle under hood, under body, powertrain and exhaust applications. First quarter sales in this business were $94.3 million, down 1.5% organically. Net part sales of $84.6 million were down $3.5 million, with lower acoustical shielding sales domestically, partially offset by higher thermal shielding sales in Europe. Sales in China were down mid-single digits. Tooling sales of $9.7 million were down $3.6 million from prior year as expected. Foreign exchange, primarily the euro, reduced sales growth by 250 basis points. Adjusted segment EBITDA margin of 12.6% declined 210 basis points from first quarter of 2018. While commodity index pricing for aluminum was down marginally year-over-year, the total cost for aluminum, including higher domestic premiums and conversion costs, impacted EBITDA margins unfavorably by approximately 60 basis points. Higher labor costs and unfavorable mix contributed the remaining gap. Sequentially, compared to fourth quarter of 2018, EBITDA margin was down 40 basis points impacted by approximately $500,000 or 60 basis points of higher incentive compensation costs. The resulting parts gross margin improved sequentially for the second quarter in a row, reflecting improvements in operational issues. We continue to actively monitor commodity pricing. And while base aluminum index pricing has improved, we expect higher premium and conversion cost headwinds to persist through the remainder of 2019. Moving to Slide 8, I will cover our Performance Materials segment. This business provides specialty filtration and engineered ceiling solutions to a variety of end markets and industries globally. Sales of $64.6 million were up $33.9 million or 110% compared to prior year, including $32.9 million of sales from the interface acquisition. FX was a headwind of 310 basis points in the quarter with resulting organic growth of 3.6%, driven primarily by higher filtration sales. First quarter segment EBITDA margin of 11.8% is almost flat from the prior year, with gross margins unfavorably impacted by product mix and higher overhead costs to ramp incremental air filtration output associated with assets purchased from Precision Filtration in the second half of 2018. This was partially offset by lower SG&A spending in the legacy business, primarily on lower trial expenses. While the sales contribution for Interface was lower than expected, the gross margin was accretive to the Performance Materials portfolio in the quarter, resulting in EBITDA growth of 108% or $4 million compared to first quarter of 2018. Note that first quarter results include $4 million of amortization for Interface, which will continue through the remainder of 2019. We continue to expect Interface to be accretive to Lydall gross margin, EBITDA margins and cash in 2019. Slide 9 covers our Technical Nonwovens segment. This segment produces air and liquid filtration media as well as other engineered products for use in various commercial applications, such as geosynthetics, automotive, industrial and medical among others. Sales in the first quarter of 2019 were $65.6 million, up 1.5% organically, net of FX translation headwinds of 440 basis points. Industrial Filtration sales were up 5.3%, driven by higher domestic sales and recovery in China volumes. Sales in Advanced Materials were down 14.9%, driven by lower sales of needle felts to the Thermal Acoustical Solutions segment and lower sales in Canada, which were impacted by a later start in the construction period compared to first quarter of 2018. Backlog for all regions remains healthy and we continue to closely monitor China. In terms of profitability, adjusted segment EBITDA margin of 12.5% was down 110 basis points from first quarter of 2018. This was driven by unfavorable product mix of lower Advanced Materials and higher material costs, particularly for Meta Aramid fibers, offset by increased customer pricing. As a reminder, adjusted segment EBITDA restructuring expenses in both periods which impacted EBITDA margins by $400,000 or 50 basis points in first quarter of 2019 and $500,000 or 80 basis points in first quarter of 2018. That concludes our review of the first quarter results. While sales were off to a slower than expected start for Interface, strong organic growth in the legacy Performance Materials and Technical Nonwovens businesses indicate healthy demand in the end markets we serve. Integration of the Interface acquisition into the Performance Materials portfolio, completing restructuring in Technical Nonwovens and continued operational performance and cash flow generation remain our top priorities as we continue through the year. With that, I will turn the call back to the operator to begin our question-and-answer session.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions]. Our first question will come from Matt Koranda with ROTH Capital Partners. Please go ahead.
Matt Koranda: Hi, guys. Good morning.
Dale Barnhart: Good morning, Matt.
Randy Gonzales: Good morning, Matt.
Matt Koranda: I wanted to start out with the Performance Materials segment. I guess why is Interface running below the expected annualized run rate? I think it was supposed to be somewhere around 150 million around the time of the announcement. Is that all ceiling softness that you guys referenced or is there some seasonality that we’re not taking into account there?
Dale Barnhart: I would say most of it is just the general market softness. We’ve analyzed the business from region by end product category, by customer and our range is down versus prior year anywhere from 10% to 20% depending upon where you look. So it’s a general softness. We’re anticipating some improvement in the second quarter, probably not fully back to where we would have anticipated. So there’s no market share loss, it’s a general market situation that we’re faced with.
Matt Koranda: Okay. And could you just elaborate a bit more on I guess – not being as familiar with that business, could you elaborate on the key drivers of the ceiling end market for Interface and why it’s down 10% to 20% year-on-year?
Dale Barnhart: Well, it varies. Because one of the nice things we do like about Interface is that they’re in several markets, about 25% of their business is in automotive. They are in construction, ag equipment, motorcycles, recreational vehicles, industrial applications. In the materials side of the business, we sell to fabricators of gaskets and it’s not clear to us where all those end applications go. And then in the gasketing materials, we actually sell gaskets also. Again, that’s a mix of going to original equipment and aftermarket. So it’s a matter I think of the first quarter being very strong last year compared to the first quarter of this year. But we are seeing weakness in geographic areas such as China and India. I think that has to do with the election in India. It’s creating some uncertainty in that economy. And of course all the trade discussions and everything that’s going on in China is having an impact on us. So there’s not one single driver because of the various end application and the various channels we have to market.
Matt Koranda: Okay, that’s helpful. And then I’m trying to get a sense for what’s limiting your EBITDA margin pull-through in the segment overall in PM. You’ve got higher revenue driven by Interface which theoretically at least according to the initial figures that we were familiar with about the business would have come in at sort of high-teens margin rates, but how much of that lack of pull-through in incremental EBITDA in PM is related to the challenges in Interface versus the base business?
Dale Barnhart: There were two significant things that impacted the EBITDA performance of Performance Materials. One is the lower revenue on Interface, which would be about $2 million of EBITDA. And then the other one was the acquisition of the Precision Filtration assets. The ramp up of those assets in our facility took a little longer. We had more expense and the revenue from those assets was delayed. So that had an impact of probably about 40 basis points in Performance Materials in the first quarter. So that was very disappointing. The good news is those assets now are running. They’re being qualified by customers and we’re starting to ship production orders off those assets. So that issue of 40 bips is behind us.
Matt Koranda: Okay. The recent announcement around the gasket materials company that you acquired from H&V, just wanted to see if you guys could maybe put a little bit more color on that and the rationale for the pickup there? Obviously, it looks like a tuck-in, but any detail on sort of how you guys think about price and the margin profile of that business and ultimately the revenue contribution for the year?
Dale Barnhart: Revenue for the year – on a full year basis, it’s $5 million to $7 million. It’s basically buying a book of business from H&V. The nice thing is 70% of that volume we can provide with grades we already make. So it’s just a matter of increasing volume across our assets. The remaining 30% is grades that we do not make. But part of the agreement is H&V will help us with the IP to be able to run those grades on our assets. So we won’t really see any sales from that probably until the second half. But starting from June on, H&V will no longer be in that business. So it’s just a book of business, a nice tuck-in, which we should leverage very well across those assets in IPM.
Matt Koranda: Okay. I’ll jump back in queue, guys. Thank you.
Dale Barnhart: Thank you, Matt.
Operator: [Operator Instructions]. Our next question comes from Edward Marshall with Sidoti & Company. Please go ahead.
Edward Marshall: Dale, Randy, Brendan, how are you? Good morning.
Dale Barnhart: Good morning, Ed.
Edward Marshall: Good morning. So a quick question just to clear it up. Was Interface accretive or dilutive to the OI and to EPS in Q1?
Randy Gonzales: So it was accretive to gross margins, so dilutive to operating margin just because of the incremental amortization.
Dale Barnhart: And that would have been dilutive to EPS. It was accretive from an EBITDA standpoint.
Edward Marshall: Okay. What’s the expectation on EPS contribution plus or minus for the year? It looks like it will be dilutive. But can you tell me how much?
Dale Barnhart: I think it’s going to be relatively neutral and maybe slightly dilutive. So much depends right now on how the revenue ramps up. We’re anticipating revenue ramp up as we go into the second half. If that hits our expectation, we’ll leverage that very well to the EBITDA. Again, that would help us probably stay neutral from an EPS standpoint, if we see the revenue increase. But we think we should see it in the remainder of the year. If you look at it right now, even with the lower volume in the first quarter, that business unit and those product categories had the highest gross margin within any family within Lydall.
Edward Marshall: Okay. And presumably as you pay down debt, the interest component comes back and it becomes more creative as we move into 2020. So using the cash from the --
Dale Barnhart: Correct.
Edward Marshall: Got it. So I want to jump to cash flow, if I can for a second. You had a pretty decent quarter of cash generation. Looks like this year will be pretty good as well. You made an acquisition, it was smaller recently. I’m just curious priorities for cash. In the pecking order, what comes first? Further deals or debt reduction?
Dale Barnhart: Pay down debt and support the organic investments we have in capital for the year. Those are our one and two priorities.
Edward Marshall: Got it, okay. In the press release and in your comments today you talked about focusing on cost controls and margin improvement across the business. I just want to give you a second to talk about maybe some of the ideas of what you’re planning in each of the businesses and how you’re tackling kind of the margin slide? Thanks.
Dale Barnhart: In TAS, we continue encouraging signals there. So we’ve had two consecutive quarters now of gross margin improvement in that business on the parts sale. So all the efforts and work we put into all the launches and improving the overall operation efficiencies are bearing fruit. So down from prior year, but still sequentially up. So continuing just the blocking and tackling, ramping up all those products that we launched last year. And we have to do that to mitigate the ongoing headwinds we’re going to see in aluminum prices, particularly in North America. In Performance Materials, it’s completing the integration and driving all the synergies we have with the IPM acquisition. With the softer sales starting, the team is looking at other areas where we can improve our efficiency. Also, we are accelerating our efforts on the supply side as far as raw materials and leveraging what we can, not only between IPM and the legacy PM but also what similarities we have and opportunities we have with Technical Nonwovens. And then also helping them in the back half of the year Performance Materials is the continual launching of some of the new products that bear better margins than our core product lines we have today. And in Technical Nonwovens, it’s the completion of the facility, rationalization that we’re driving in China and in Europe. Continuing growth in the Advanced Materials, particularly in Acoustics where we’re getting some good attraction with new products we’re launching there. And then as with PM, reinvigorating our supply chain to make sure we’re leveraging our global position when it comes to material. And then really redoubling our efforts when we get increases, particularly on the Aramid products that go into the industrial air filtration market that we are very diligent and passing that cost on to the marketplace through pricing in the product.
Edward Marshall: Got it. Thank you very much. I appreciate your comments.
Dale Barnhart: Thank you, Ed.
Operator: [Operator Instructions]. Your next question comes from Chris Moore with CJS Securities. Please go ahead.
Chris Moore: Hi. Good morning, guys. Just in terms of kind of Q2 sequential gross margin expectations, is the – are you looking for kind of flat gross margins, marginal increase, a little bit of a decrease? How are you looking at this stage?
Dale Barnhart: We really don’t give that type of direction. We believe we should see revenue improvement in the second quarter. And as we do that, you can draw what conclusion you think would happen with gross margins and profitability.
Chris Moore: Okay. Maybe bigger picture on the TAS gross margins, obviously you don’t break out the fiber and the metal margins separately anymore. But when the combination happened, you talked about the likelihood of the fiber margins coming down and the metal margins improving. Can you talk a little to those expectations for the balance of '19, for '20 kind of how you’re seeing those two margins, kind of fiber moving down and metals moving up? Are they kind of meeting your expectations?
Dale Barnhart: They are. The metals business of product line, they’ve done an excellent job in dealing with all the launches and now we’re seeing, as I mentioned earlier, the improvement in gross margins just due to operational efficiency. We’re reducing our scrap. We’re reducing our overtime. As we’re ramping up the assets to better efficiencies, we’ve been able to pull in some of the product that we outsource because of the capacity constraints last year. So those things – and expedited freight is down substantially. So all those things we can control. As I also mentioned earlier, it continues to be a headwind, particularly in North America as it relates to our aluminum cost that we’re paying for that raw material. From the fibers business, product line is pretty much where we anticipated. I don’t think there’s any real surprises there. It continues to have pressure from very aggressive competitive pricing in the marketplace, but the team has done a very nice job and making sure we’re operating that unit – those product lines and families as efficiently as possible. So bottom line is we expect over the next two years to see margin improvement in TAS.
Chris Moore: And kind of the rollout of the fiber internationally, can you just talk about that a little bit?
Dale Barnhart: We’re bidding on projects outside the United States. We haven’t won anything of any significance.
Chris Moore: Got it. All right, I appreciate it. Let me jump back in line, guys.
Dale Barnhart: Thank you, Chris.
Randy Gonzales: Thanks, Chris.
Operator: And this will conclude our question-and-answer session. I would like to turn the conference back over to Dale Barnhart for any closing remarks.
Dale Barnhart: Again, thanks everyone for joining the call. And we look forward to speaking with you again at the end of the second quarter. Thank you very much.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.